Operator: Good morning. My name is Ludy, and I will be your conference operator today. At this time, I would like to welcome everyone to the Karyopharm Therapeutics Second Quarter 2025 Financial Results Conference Call. [Operator Instructions] Please be advised that this call is being recorded at the company's request. I would now like to turn the conference over to Brendan Strong, Senior Vice President, Investor Relations and Corporate Communications. Please go ahead.
Brendan Twohig Strong:
SVP of Investor Relations & Corporate Communications: Good morning. Thank you for joining us on today's conference call to discuss Karyopharm's Second Quarter 2025 financial results and recent company progress. We issued a press release this morning detailing our financial results for the second quarter of 2025. This release, along with a slide presentation that we will reference during our call today are available on our website. For today's call, as seen on Slide 2, I'm joined by Richard, Reshma, Sohanya and Lori, who'll provide an update on our results for the second quarter of 2025 and discuss recent clinical developments. Before we begin our formal comments, I'll remind you that various remarks we will make today constitute forward-looking statements for purposes of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995 as outlined on Slide 3. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our most recent Form 10-Q or 10-K on file with the SEC and in other filings that we may make with the SEC in the future. Any forward-looking statements represent our views as of today only. While we may elect to update these forward-looking statements at some point in the future, we specifically disclaim any obligation to do so even if our views change. Therefore, you should not rely on these forward-looking statements as representing our views as of any later date. I'll now turn the call over to Richard. Please turn to Slide 4.
Richard A. Paulson: Thank you, Brendan, and thank you all for joining us today for Karyopharm's Q2 2025 earnings call. Before we begin, as outlined on Slide 5, I want to address a topic that is on the minds of our employees, our partners and our investors. We are operating in a period of financial constraints with a near-term debt maturity in October. We are actively engaged with our lenders and advisers to enhance our liquidity and maximize value. Importantly, the fundamentals of our business remain strong with a profitable multi-myeloma commercial organization that provides us with a solid foundation that we can build on with 2 potentially transformative Phase III readouts expected over the next 12 months. These trials target diseases where patients have few treatment options and there is an opportunity to improve on existing therapies. Based on the strength of our data to date, we believe we have the potential to redefine the standard of care for these patients. This is the value that we are building towards and what drives our confidence in the long-term trajectory of the company. With that, let's get into our results for the quarter, where we delivered solid commercial results and made exciting progress towards enrolling our pivotal Phase III trials in myelofibrosis and endometrial cancer. I am pleased to report that we expect to close new patient screening this week in our Phase III SENTRY trial in patients with JAK- naive myelofibrosis. This is a major milestone that is a result of many years of hard work and dedication from people throughout our organization and I thank all of our teams. We greatly thank the patients and clinical trial sites that are participating in SENTRY. Importantly, SENTRY will be our first Phase III trial readout where we utilize a lower dose of selinexor combined with antiemetics during the first 2 cycles of treatment to improve the tolerability of selinexor as we work to enhance the patient experience. Through our strong clinical trial execution, we are seeing the benefits of both of these factors in the preliminary blinded safety data that Reshma will review to date. We are eagerly anticipating top line data in March of 2026. Turning to Slide 6. Completing enrollment in our Phase III SENTRY trial is an important step on our over 7-year journey to demonstrate the role that XPO1 inhibition may play in patients with myelofibrosis. The Phase III trial caps a growing body of evidence that has consistently demonstrated the potential for XPO1 in myelofibrosis. We are optimistic about the potential for selinexor plus ruxolitinib to redefine the standard of care for patients living with this disease and pending positive data, the transformational opportunity this represents for our organization. As outlined on Slide 7, given the opportunity to improve the standard of care, leading KOLs, including Dr. John Mascarenhas from Mount Sinai, who is the principal investigator for SENTRY continue to highlight the need for new treatment options for patients with myelofibrosis. The depth and durability of response that Dr. Mascarenhas mentioned in a recent interview with a patient advocacy organization, plays to the strength of selinexor. Finally, as shown on Slide 8, we estimate the peak revenue potential for selinexor in myelofibrosis is up to approximately $1 billion annually in the U.S. alone and believe that commercial uptake would be rapid. We are very eager to bring this combination therapy to the market, pending the outcome of our data and future regulatory approvals. Now I'd like to turn the call over to Reshma.
Reshma Rangwala: Thank you, Richard. I will be sharing new blinded preliminary safety data with you today from our Phase III SENTRY trial that may support the potential of the combination of selinexor plus ruxolitinib which may have a similar, if not more favorable safety profile than ruxolitinib alone. Before I get into the new data, let's review why we believe selinexor as an XPO1 inhibitor is a rational mechanism to evaluate in patients with myelofibrosis, starting on Slide 10. Selinexor prevents the nuclear export of various proteins and messenger RNA molecules, thus inhibiting both JAK and non-JAK pathways. The latter, which includes the nuclear localization and activation of p53, an important tumor suppressor in myelofibrosis, given that approximately 95% of myelofibrosis patients are p53 wild type. As Richard indicated, we believe that the combination of selinexor plus ruxolitinib has the potential to establish a new treatment paradigm for myelofibrosis patients by addressing each of the 4 key pillars of this disease as outlined on Slide 11. While no assurances can be given, our confidence continues to strengthen as we receive and review additional data, including updated blinded safety data that I will be reviewing shortly. To set the stage, there has been a lack of new treatment options given that JAK inhibitors are the only approved class of therapies. Ruxolitinib has been the standard of care for over 13 years. As the potential first combination therapy in myelofibrosis, selinexor plus ruxolitinib would be a convenient all oral therapy that the myelofibrosis community has clearly indicated interest in adopting given the rapid, deep and durable spleen reductions and symptom improvement observed from the Phase I study. Let's now focus on the 4 key hallmarks in myelofibrosis. First, spleen volume reduction. I think it is a very helpful reminder that only approximately 1/3 of patients achieved a spleen volume reduction of greater than 35% with ruxolitinib alone. Our Phase I data suggests that the combination could more than double the SVR35 rate with durable responses also seen. Second is symptom improvement. Data from our Phase I trial of selinexor in combination with ruxolitinib showed an average 18.5 point improvement in absolute TSS at week 24, which suggests this combination could provide a meaningful improvement over the 11 to 14-point improvement achieved by patients on ruxolitinib as observed in the Phase III MANIFEST-2 and TRANSFORM-1 trials. Third is hemoglobin stabilization and transfusion burden. The data that we presented in June at EHA show higher hemoglobin levels, lower transfusion burden in much lower rates of all grade in grade 3 plus anemia in myelofibrosis patients previously treated with JAK inhibitor therapies who were randomized to selinexor compared to the physician's choice arm which included retreatment with the JAK inhibitor therapies, including ruxolitinib. Fourth is disease modification. There is minimal evidence of disease modification with JAK inhibitors. Data observed from selinexor monotherapy studies in a pretreated myelofibrosis population as well as our Phase I combination data in JAK inhibitor naive myelofibrosis, suggest meaningful reductions in key cytokines that are critical to myelofibrosis pathogenesis, symptom development and anemia as well as improvements in bone marrow fibrosis increases in erythroid progenitors and mutational burden. Turning to Slide 12. We are pleased that our Phase III SENTRY trial will be closing new patients screening this week. Importantly, based upon an initial review of the baseline characteristics of the patients enrolled to date, they are representative of the intended patient population. One notable characteristic is the baseline TSS, which when excluding fatigue, may ultimately be higher than other Phase III trials, an important trend that may suggest that our trial could be well positioned to report a greater improvement in absolute TSS. In this new era of combination therapies, there have been challenges demonstrating meaningful symptom improvement above and beyond ruxolitinib. Based upon learnings from other trials, we believe we have optimized SENTRY for success. First, we changed the co-primary endpoint of TSS50 to absolute TSS, a more sensitive method by which to detect meaningful symptom improvement above and beyond ruxolitinib. Second, we have excluded the fatigue domain and the primary analysis of ABSOLUTE TSS in alignment with the U.S. FDA due to the difficulty in accurately assessing changes in this symptom. We are certainly not the first to exclude fatigue. In fact, both the pivotal trials that led to ruxolitinib and fedratinib approvals also excluded fatigue in their TSS50 analyses. It's also important to keep in mind that all of our studies have excluded fatigue and symptom analysis, including our Phase I study evaluating the combination of selinexor and ruxolitinib as well as MSO35, which evaluated selinexor as a monotherapy in previously treated MF patients. Finally, absolute TSS in the Phase III SENTRY trial will be analyzed using the mixed models repeated measure approach or MMRM. This differs from our Phase I, which given the limitations in sample size could only evaluate the mean or average change at week 24. MMRM is viewed as a more sensitive and potentially more robust method by which to analyze absolute TSS. The co-primary endpoints in SENTRY are SVR35 in absolute TSS, which are tested sequentially. Some of the key secondary and exploratory endpoints that will also be analyzed include progression-free survival, overall survival, hemoglobin stabilization, variant allele frequency reduction, improvement in bone marrow fibrosis and changes in cytokine levels. Now let's review the encouraging preliminary blinded aggregate safety data from this trial, as these are preliminary data please keep in mind that these data may not be reflective of the trial's actual top line results. The data on Slides 13 and 14 are from the first 61 patients that enrolled in the Phase III portion of the SENTRY that have now been followed for a median of over 12 months. These patients were included in the successfully passed futility analysis conducted in the beginning of the year. While only members of the DSMB had access to the unblinded efficacy and safety data from these patients, we have continued to track the safety events over time and took a snapshot of the blinded safety data from these 61 patients on July 1, 2025, which continued to look favorable. Let's start by reviewing the adverse event summary on the left side of Slide 13. The data on the 61 patients shown in the table include patients randomized to either the combination of selinexor plus ruxolitinib or ruxolitinib in a 2:1 ratio. Because these are blinded data, we do not know the rates by each arm. The second and third columns provide the treatment emergent adverse event summary, or TEAE summary following a median follow-up of more than 7 months or 12 months, respectively. What you see in the summary is that many of the adverse events occur early with no meaningful increase in rates after the median of 7 months of follow-up. In an effort to improve comparability, we then took our analysis one step further. Knowing that the 61 patients were randomized 2:1, we use the historical data on ruxolitinib to extrapolate the preliminary safety data for the approximately 40 patients that received the combination, which is shown in the blue boxes on the right side of the slide. As you can see, the percentage of patients that have had at least 1 TEAE is approximately 97%, similar to what has been described for ruxolitinib. However, when we focus on the grade 3 plus TEAEs the extrapolated data suggests that the rate may be slightly lower for patients on the combination versus ruxolitinib at approximately 53% and 57%, respectively. Looking at serious TEAEs, the extrapolated data suggests an even greater benefit for the combination therapy than ruxolitinib. Finally, the extrapolated rate of TEAEs leading to treatment discontinuation is only 5% to 7% for the combination, lower than 6% to 11% range that has been historically reported for ruxolitinib, which we view as an encouraging observation. Let's turn to the individual treatment emergent adverse events, as shown on Slide 14. We took the same approach with these data as the ones I just described on the prior slide. Starting on the left, you'll see the all-grade blinded safety data on the 61 patients with a median follow-up of more than 7 months and again for more than 12 months. We also show 2 noteworthy Grade 3/4 TEAEs at the bottom left, anemia and thrombocytopenia. Consistent with what I described on the prior slide, we see most TEAEs occurring within the first 7 months of follow-up. Additional events are observed with the passage of time, resulting in the rates of TEAEs modestly increased at 12 months of follow-up. The number that excites me the most is the extrapolated rate of Grade 3/4 anemia at approximately 26%, the extrapolated rate of Grade 3/4 anemia for the combination is meaningfully lower than the 37% historically reported for ruxolitinib. And while the extrapolated rate of all grade nausea is higher in the combination arm than ruxolitinib the approximately 64% is substantially lower than the approximately 80% rate that we reported in the Phase I portion of this trial. We have recently presented compelling cytokine data that could explain in part the efficacy absorbed with selinexor. In addition, Slide 15 shows pictographs of bone marrows evaluated at baseline and at week 24 from a patient treated with the selinexor ruxolitinib combination and is further evidence of the potential disease modification that selinexor may induce in patients with myelofibrosis. These data were first presented by Dr. Harris Ali at the International Congress of Myeloproliferative Neoplasms in October of 2024. This JAK inhibitor naive myelofibrosis patient was treated with selinexor 60 milligrams and ruxolitinib 15 milligrams twice a day as per the USPI. Due to cytopenias, the ruxolitinib dose was decreased to suboptimal ruxolitinib doses 5 milligrams twice a day starting in cycle 2. The patient achieved an SVR35 as early as week 12 and a TSS50 as early as week 8 as a result of symptom reduction from a baseline of 42 points to 19.5 points at week 8. The efficacy observed in this patient can be explained in part by the meaningful change occurring in their bone marrow, specifically a 46% reduction in fiber density assessed by digital pathology was observed at week 24 compared to baseline samples as was an approximately 200% increase in erythroid progenitors which are precursors of mature red blood cells. While this is a single patient experience, the increase in erythroid progenitors could also explain the potentially lower grade 3- plus anemia rates with the combination as compared to historical ruxolitinib data as I explained on the previous slide. We are very encouraged about these data and what it could mean for patients if we see something similar in the top line results in the Phase III SENTRY trial. Specifically, it could suggest a combination therapy that has a safety profile similar if not potentially better than standard of care ruxolitinib. Given that both Grade 3 plus anemia and thrombocytopenia are the same, if not better than ruxolitinib alone, it could also suggest decreased blood draws for the patient and reduced monitoring burden for physicians and health care staff. I would also like to provide an update on our Phase II SENTRY 2 trial, where we are evaluating selinexor as a monotherapy in JAK inhibitor-naive myelofibrosis patients with moderate thrombocytopenia. Enrollment in this trial has been slower than anticipated, given that the vast majority of sites enrolling on SENTRY 2 are also enrolling patients into SENTRY and we have asked sites to prioritize enrollment on SENTRY. In addition, patients with platelet counts between 50,000 and 100,000 represents only 10% to 15% of all JAK-naive myelofibrosis. Now that SENTRY enrollment is completed, we plan on expanding the enrollment criteria to include all patients with platelet counts above 50,000, pending they meet all other eligibility criteria. This should increase the number of patients that can participate in this trial. Our prior plan was to report preliminary data on a subset of patients from SENTRY 2 in the first half of this year. Given the enrollment challenges and the changes we are making to the enrollment criteria, we now plan to report top line data from all patients that we enroll in the 60-milligram cohort of this trial in 2026. Now let's shift our focus to endometrial cancer, where p53 wild type is such an important biomarker. As seen on Slide 17, patients with both MMR proficient and TP53 wild-type tumors make up approximately 50% of all advanced or recurrent endometrial cancer cases, representing a very sizable group. Enrollment in the export EC042 trial is progressing steadily as seen on Slide 18, and we continue to expect to report top line data in the middle of 2026. I remain encouraged with the potential of selinexor to achieve clinically meaningful outcomes in the maintenance setting for patients with p53 wild-type endometrial cancer. Lastly, our Phase III EMN29 SPd trial is outlined on Slide 20. This trial aims to demonstrate the potential of an all-oral triplet treatment option for multiple myeloma patients that could also benefit those undergoing pre- and post T-cell engaging therapies. We expect to report top line data from this event-driven trial in the first half of 2026. I will now turn the call to Sohanya.
Sohanya Cheng: Thank you, Reshma. On Slide 22, I will discuss our commercial highlights for Q2 2025. XPOVIO net product revenue was $29.7 million this quarter, up 6% from the second quarter of 2024. Demand for XPOVIO was consistent in the second quarter of 2025 versus the second quarter of 2024, with the community setting continuing to drive approximately 60% of total U.S. sales. As we all know, the multiple myeloma market is highly competitive and is becoming more competitive each year. Within this market, XPOVIO is positioned in the community as a flexible therapy with a differentiated mechanism of action, oral convenient option following treatment with an anti-CD38 therapy as well as in patients who cannot access or fail a T cell engaging therapy. In the academic setting, XPOVIO is being increasingly used before and following T cell therapies. Taking our results for the first half of the year into account, including the atypical level of returns in the first quarter of this year, we expect net product revenue for full year 2025 will be in the range of $110 million to $120 million. Finally, we continue to expand global patient access to selinexor and are now approved in various indications in 50 countries. This is translating into growth in royalty revenue from Menarini, Antengene and other international partners. Royalty revenue increased 28% to $1.6 million in the second quarter of 2025 compared to the second quarter of 2024, reflecting increased global demand for XPOVIO and NEXPOVIO. With data from a Phase III SENTRY trial in sight, our commercial team is preparing for a very rapid launch in myelofibrosis, if approved. As outlined on Slide 23, we continue to believe that our peak annual revenue opportunity in the U.S. alone is up to approximately $1 billion with additional royalty and milestone revenue globally. As you think about this opportunity, keep in mind that the average real- world duration for the current standard of care is approximately 13 months. And given the data we have reported to date, we believe we may have an opportunity to extend this further when ruxolitinib is combined with selinexor. On Slide 24, we outline why we believe we are well positioned for a rapid launch in myelofibrosis pending positive data and approval. As we've shared previously, 75% of the physicians that we surveyed say that they intend to adopt a combination therapy in myelofibrosis if one becomes available. If selinexor is approved in combination with ruxolitinib, we could be the first combination therapy on the market. We would be an all oral therapy, which makes adoption much easier, especially in the community setting. On this point, there is an 80% overlap in the community between myelofibrosis and multiple myeloma prescribers that our organization is already calling on, which enables us to drive a rapid launch and minimizes the upfront investment required for the launch. Finally, in endometrial cancer, as shown on Slide 25, we continue to believe that we have a significant opportunity in the p53 wild type and pMMR patient population, which represents approximately 50% of advanced or recurrent endometrial cancer patients. Similar to what I outlined from myelofibrosis, there is a large overlap between the potential community-based oncologists caring for endometrial cancer patients and those we are already engaging with. Now I'll turn the call over to Lori.
Lori A. Macomber: Good morning, everyone, and thank you, Sohanya. Turning to our financials. Since we issued a press release earlier today with the full financial results, I will focus on the highlights and reviewing our guidance for 2025 on Slide 27. Total revenue for the second quarter of 2025 was $37.9 million compared to $42.8 million for the second quarter of 2024. The decline was primarily attributable to $6 million of nonrecurring license related revenue from our partners recognized during the second quarter of 2024. U.S. XPOVIO net product revenue for the second quarter of 2025 was $29.7 million compared to $28 million for the second quarter of 2024. As expected, the rate of product returns this quarter reverted to historic levels following the atypical increase reported in the first quarter of this year. As a result, the gross to net provisions for XPOVIO in the second quarter were 26.8%, down from the 45% that we reported in the first quarter of this year and down from 29.3% in the second quarter of 2024. The year-over-year decline was primarily driven by mix and lower 340B discounts in the second quarter of 2025. We expect our gross to net provisions will remain relatively consistent with Q2 2025 for the remainder of the year. R&D expenses for the second quarter of 2025 were $32.8 million, down 15% when compared to $38.4 million for the second quarter of 2024. The decrease was due to a reduction in head count and contractors related to our cost optimization initiatives combined with lower clinical trial and related costs primarily from our Phase III clinical trial in multiple myeloma. SG&A expenses for the second quarter of 2025 were $28.5 million, down 8% when compared to $31.1 million for the second quarter of 2024. The decrease was primarily due to the realization of previously implemented cost reduction initiatives. Interest expense was $11.2 million in the second quarter of 2025, up from $8.9 million in the second quarter of 2024. As a reminder, we announced a refinancing in the second quarter of 2024 that raised interest expense. However, there was only a partial quarter impact in the second quarter of 2024. Last year's refinancing also resulted in a $44.7 million gain on the extinguishment of debt in the second quarter of 2024. Other expense was $2.2 million in the second quarter of 2025 compared to $14.3 million of other income in the second quarter of 2024. These amounts were attributable to reoccurring noncash fair value remeasurements of embedded derivatives and liability classified common stock warrants related to the refinancing transactions in the second quarter of 2024. We reported a net loss of $37.3 million or $4.32 per share on a GAAP basis. This figure includes $11.2 million in interest expense related to our debt instruments as well as approximately $2 million in noncash losses from the remeasurement of embedded derivatives and liability classified common stock warrants. Our net loss from operations was $24.5 million for the second quarter of 2025. This operating result reflects the performance of our core business during the quarter. From an earnings per share perspective, our GAAP EPS includes both interest expense and mark-to-market impact of the warrant and derivative remeasurement. We continue to be very diligent in allocating our resources and pipeline prioritization. We announced a roughly 20% reduction in our workforce in early July. You will start to see the financial impact of these actions when we report our results for the fourth quarter of this year. In 2026, we expect these actions to lower our annual spend by approximately $13 million. We exited the second quarter of 2025 with cash, cash equivalents, restricted cash and investments of $52 million compared to $109.1 million as of December 31, 2024. Based on our current operating plans, our guidance for the full year of 2025 is as follows: total revenue of $140 million to $155 million, consisting of U.S. XPOVIO net product revenue and license, royalty and milestone revenue expected to be earned from our partners, primarily Menarini and Antengene. U.S. XPOVIO net product revenue to be in the range of $110 million to $120 million. R&D and SG&A expenses to be in the range of $240 million to $250 million. And finally, we expect our existing liquidity, including the revenue we expect to generate from XPOVIO net product sales as well as revenue generated from our license agreements. We'll be sufficient to fund our planned operations to the October 15 maturity of our senior convertible notes. Excluding the remaining $24.5 million 2025 notes maturity, and $25 million minimum liquidity covenant. We expect that our liquidity is sufficient to fund our planned operations into January 2026. As we address this, we are working closely with our advisers, including Centerview Partners to explore potential financing and strategic alternatives to enhance liquidity and maximize value. I will now turn the call back to Richard for some final thoughts.
Richard A. Paulson: Thank you, Lori. Turning to Slide 29. We continue to believe that myelofibrosis in endometrial cancer, depending on the data from our ongoing Phase III clinical trials are both game-changing opportunities for patients and our organization. With the myelofibrosis opportunity alone, representing up to a potential $1 billion in peak annual revenue in the U.S. alone. To deliver on these opportunities, we are working with urgency and discipline to address our liquidity while keeping our focus squarely on the opportunity in front of us to bring meaningful, much needed innovation to patients and generate significant value. I'd like to thank our employees, our partners and our investors for their continued support and belief in our potential. We look forward to updating you on our progress in the coming months. And I would now like to ask the operator to open the call up to the Q&A portion of today's call. Operator?
Operator: [Operator Instructions] With that, our first question comes from the line of Ted Tenthoff with Piper Sandler.
Edward Andrew Tenthoff: I guess one biggest question has to do -- really 2, if I may. First, just on myelofibrosis, everything seems to be pointing in the right direction. What's your biggest worry about that potential readout? Is it Jakafi doing better? Is there what could be kind of the snake hiding in the pushes or the graphs or whatever that could surprise us? And then the second question is just with really 3 big readouts next year with myelofibrosis, the XPORT-MM-031 trial and also endometrial. How are you planning on sort of prepping and being ready for all of those data readouts at the same time? Is that going to cause any problems just in terms of processing everything?
Richard A. Paulson: Yes. Thanks, Ted. A couple of great questions. I'll take the second one first, and that's a great opportunity that we're excited about to have 3 big readouts in front of us and to be getting ready for potentially positive data across all those readouts is what we're super excited about as an organization. Obviously, building on the foundation in multiple myeloma, I think that's something which is kind of our bread and butter organization is really ready for. Myelofibrosis is a key area for us, obviously, and you've heard us talk, and we talked again today that there is significant overlap in the prescriber base. So to be able to build on our foundation, leverage our commercial capabilities and get out and start being able to get ready for myelofibrosis and ultimately launching it. Pending positive data, again, I think we're well ready for. And then endometrial cancer kind of largely the same. There's a lot of overlap because a number of these patients, both in myelofibrosis and endometrial cancer are seen in the community. So our organization, our payer capabilities, our medical affairs capabilities, our commercial capabilities, all have a lot of synergy to be able to bring both myelofibrosis and endometrial cancer to patients rapidly. So that's a good problem that we're excited about. And the organization already is starting to work on getting ready for myelofibrosis, obviously, is our next potentially transformative opportunity and we're looking forward to updating you more on the future. And for the second part of the question, I'll turn that over to Reshma to kind of talk with you about MF. Our -- and talk about our biggest worry, I think there's just -- broadly I'll say it's just a high level of excitement, really a high level of excitement that we're building on the foundation that's been put in place with ruxolitinib and so to be able to potentially combine with the standard of care, and create a new standard of care for patients, obviously, is very exciting for us, especially given that that's an all-oral with 2 already approved medications. But I'll let Reshma maybe share with you what her biggest worry is with regards to looking at the Phase III readout with selinexor and ruxolitinib.
Reshma Rangwala: Yes. Thanks, Richard, and thanks, Ted, for the question. It's interesting. Worry, I'm not sure I would couch it in those words. As Richard was mentioning, right, we've been exploring myelofibrosis for so many years. I mean, 7-plus years, both with preclinical data, obviously, teasing apart the mechanism. We've got multiple clinical data sets. We've got a Phase I study evaluating the combination in this relevant patient population of JAK-naive myelofibrosis. And I have to say I like what we've got, right? We've shown some very, very compelling SVR data, SVR35 at week 24 that more than doubles what we've observed with historical ruxolitinib that leads to SVR rates and only approximately 1/3 of all patients even with symptom improvement. And I'll admit, right, symptom improvement has been the Achilles heel of so many Phase III trials. With that said, I like the data that we've observed to date, both from a TSS50 standpoint, but also an absolute TSS, that ladder which shows an 18.5 point improvement at week 24 relative to baseline. And again, I always contextualize that with some of the monotherapy data that also shows some very compelling TSS data as well. But beyond that, right, SVR and TSS are only 2 the key hallmarks that we evaluate in myelofibrosis. I really am quite encouraged by the disease modification data, both with the cytokines as well as bone marrow fibrosis, obviously, the impact on hemoglobin stabilization, this really intriguing observation that we're also including improving the safety, especially the Grade 3 plus anemia rates relative to historical control. So I think like when I step back, right, I mean, the Phase III is going to be the Phase III, but I think going into that Phase III, I really, again, like what we see in that the combination really can meaningfully improve on not only the key endpoints of SVR35 and absolute TSS, but all of the areas that obviously are very relevant to the patient as well as their physician.
Edward Andrew Tenthoff: That's very helpful. And I share your enthusiasm. So I'm looking forward to the data readouts.
Operator: And your next question comes from the line of Colleen Kusy with Baird.
Colleen Margaret Kusy: Helpful update on the baseline characteristics for the pivotal MF combo study? You spoke to higher TSS at baseline. Can you talk about that a little bit more on how you think that will impact your results and specifically, have you seen a ceiling effect with other trials?
Reshma Rangwala: Yes. Thanks, Colleen. Great question. So some of the data, especially when we look at historical trials in this JAK-naive myelofibrosis, it does just whether you're looking at TSS50 or absolute TSS that the higher the baseline, right, the more likely you're going to see that meaningful outcome, either a 50% improvement or that proportion of patients who can achieve that 50% improvement? Or overall, that average reduction in that mean TSS at week 24 relative to baseline. So the higher you can push it, the more likely again, you can achieve a meaningful outcome. And so again, these are just preliminary characteristics. We have not enrolled all of our patients. So ultimately, when we complete enrollment, we'll take a snapshot of where that baseline TSS is. But I'm really encouraged where that -- where the evolution has been within the Phase III trial, i.e., again, pushing to higher baseline TSS. So yes, excited to see where we are right now.
Colleen Margaret Kusy: Okay. And one quick follow-up, if I can. You touched on this a little bit, but can you just further explain the rationale again for why you think you're seeing the lower rates of Grade 3/4 anemia with the combination? And how important do you think that will be for physicians and potential uptake of the combination?
Reshma Rangwala: Yes. It's a really, really intriguing observation. And I really do think that it's probably due to the disease modification that is occurring with selinexor plus ruxolitinib. We've touched upon some really compelling cytokine data. This was back at EHA in June when we looked at selinexor as a monotherapy in that previously treated population, what those data suggested is that it's decreasing key cytokines that are involved in all aspects of anemia, specifically hepcidin, ferritin, etc, right? You see decreases in those rates. Obviously, or potentially could be translating to lower grade 3 plus anemia. I'm really liking with what we see from the very preliminary data coming out of the bone marrow fibrosis, too, a really marked decrease in that reticulin density. It suggests that you're clearing out that marrow. And potentially allowing for some repopulation of those key cells that ultimately can put produce erythrocytes and lead to higher hemoglobin. So that also could not only lead to efficacy, i.e., higher hemoglobin, but also potentially translate to lower grade 3-plus rates. Early days, right, these are just hypothesis-generating data. But I love the fact that we see these clinical outcomes married with these disease modification data that again can explain both the efficacy and safety aspects that we see in our trials.
Operator: And your next question comes from the line of Peter Lawson with Barclays.
Peter Richard Lawson: And just as we think about revenues and kind of the drivers, what was the contribution? I may have missed this volume pricing versus inventory? And then how should we think about that for the rest of the year? And then I have a follow-up.
Richard A. Paulson: Yes. Thanks, Peter. Inventory was relatively consistent across the period. So I think as Sohanya shared, there's a balance, we saw an improvement in the GTN. And that's something that we obviously talked to last quarter when we had this onetime returns issue. And so overall, we also have seen demand to be relatively consistent. So that's kind of the balance in the drivers.
Peter Richard Lawson: Great. And then that early blinded safety data looks really encouraging for lower grade 3 anemia and discontinuation rates versus ruxolitinib. How confident are you that those kind of backing out of data sets will kind of hold once it's unblinded?
Reshma Rangwala: It's a good question. And Peter, I always say, I wish I had that perfect crystal ball. Sometimes crystal balls can be fuzzy. But with that said, I like the evolution that we've seen in these blinded safety data. We've taken a couple of snapshots. So we've taken advantage of these 61 patients. They again were included as part of that futility analysis that the Data Safety Monitoring Board evaluated earlier this year with approximately 6 months of follow-up, we see a really nice evolution in that safety profile, especially when we extrapolate with historical ruxolitinib. And when we continue to follow those patients and took an updated snapshot as of July 1, we really see a similar kind of trend. Yes, numerically, we do see increases in some of these rates of AEs, whether it's all grade or grade 3 plus, but a really nice compared to historical ruxolitinib. I think one of the key things, when I do these extrapolations or I should say, we, as a team, do these extrapolations, is that historical ruxolitinib safety data has been relatively consistent, right? So when we look at the MANIFEST Phase III trial versus the COMFORT right? They span more than a decade. And yet, again, it's interesting to see that, that ruxolitinib safety data by and large, is very consistent. So it allows us or it gives us a little bit more confidence when we extrapolate to what the combination is likely going to see as relatively stable. So ultimately, we'll need to just see what the Phase III data demonstrate. But again, encouraged by this preliminary observation.
Operator: And your next question comes from the line of Maury Raycroft with Jefferies.
Yichun Qian: This is Amy on for Maury. Congrats on the quarter. I have 2 questions, one on the endometrial, the other on the SENTRY-2 study. So for the endometrial Phase III, can you talk about the enrollment progress so far? And what percentage of the target has already been enrolled? And for the SENTRY-2, could you help us understand how the protocol amendment would help with enrollment of the study, considering the Phase III SENTRY and this original SENTRY-2 are not in the same population? And what is the bar for success now for this amended study? And would you plan to show in the top line? And how should we contextualize the data with the new population?
Reshma Rangwala: Yes. Thanks, Amy. So I'll take the first one. For endometrial cancer, so enrollment is very steady, right? This is a unique study in that it's a biomarker-driven maintenance study. What we are seeing right now and aiming to complete is that what we call the top of the funnel, i.e., the number of patients who have submitted samples to Foundation Medicine for assessment of their p53 status. We see nice flows of samples into that bucket and anticipate top line results in the middle of 2026. So again, very encouraged by the progress made to date. We have not released any target enrollment as of today. So we're not giving out any numbers again. We're confident with what we are seeing at the top of the funnel as well as the subsequent randomization that we are going to hit top line results in the middle of 2026. In terms of SENTRY-2, so another good question. So let me just back up for a minute. So SENTRY-2 was also looking at that JAK- naive myelofibrosis patient population, we're evaluating selinexor as a monotherapy in a single arm cohort in this population. Now keep in mind that the population had been different and still is different than our combination trial SENTRY, the ongoing Phase III largely based upon their platelet counts. So SENTRY-2 is just enrolling patients who have baseline platelet counts between 50 and 100. SENTRY is enrolling patients with 100 and above. What we plan to do, so this hasn't occurred yet, but what we plan to do is to amend the trial to allow all patients with baseline platelet counts of 50 all the way, there's no limit to enroll as part of this trial. So now that we are opening up that baseline platelet cap, we do anticipate that the enrollment is going to pick up relative to what we've seen to date. In terms of the bar, so because the amendment has not been issued yet, we don't see any difference in the bar. So we do anticipate that the majority of the patients enrolled is part of the 60-milligram cohort are still going to be that moderate thrombocytopenia population, 50 to 100. This is a very high unmet need, small population at approximately 14%. Because there's not really effective therapies for that population, that bar is anywhere above 25%, right, 25% to 30% relative to historical controls of approximately 15%.
Operator: And your next question comes from the line of Brian Abrahams with RBC Capital Markets.
Brian Corey Abrahams: I guess maybe asking a safety question a little bit of a different way. I'm curious, like what's your view as to what the potential reasons why you're seeing this possible overall difference in tolerability when you kind of look at those extrapolated safety rates versus the Phase I? Is there anything you can tell us about the use of antiemetics in the study, whether patients are continuing to use them or stopping after those first 2 mandatory cycles? And then my second question is there's been some recent changes in FDA leadership at SEDAR. And I'm curious if you had any updated communications with the agency since your alignment on the new co-primary endpoints for the Phase III and your level of confidence that they're positioned on what's going to be required remains the same as your prior feedback?
Reshma Rangwala: Thanks, Brian, for the question. So it really is a very nice evolution both to historical ruxolitinib, but as you mentioned, also to the Phase I data. And arguably, I think some of the greatest benefit is around the GI toxicity. It's very well known with selinexor. But what we see in our Phase III extrapolated data is a really nice improvement both with that nausea as well as vomiting. So in that Phase I, yes, we saw 80% of the patients experience any grade nausea, approximately 50% of the patients experiencing any grade vomiting. And what we are now potentially seeing in our Phase III is reduction in both the nausea and vomiting from 80% to 64%, even vomiting from 50% to now close to what you see and expect with historical ruxolitinib around 10%, 12%. I think you hit the hammer on the head, why do we see this? I think it's really because of all of the antiemetics. So in our Phase I antiemetic usage was not consistent. So there was many patients, unfortunately, who did not take dual antiemetics. There were quite a few patients who only took one. They were some patients who didn't take any. In our Phase III, we've really tightened that requirement. Virtually all of those patients above 90% are taking those dual antiemetics for the first 2 cycles and then its optional thereafter. And I think it's because of those required dual antiemetics, we see this improvement in nausea, but I think the really nice improvement is again in that vomiting, about from 50% all the way down to 10%. So a really nice improvement, not only to the Phase I, but again also relative to historical ruxolitinib. In terms of the FDA, yes, so lots of evolution going on with the FDA, as we all know. With that said, no additional feedback. So we got that feedback back in the third quarter of 2024 around the endpoint change and have not gotten any additional feedback because everything is so documented, we feel confident in the position that the FDA will ultimately take on our Phase III when we meet with, hopefully, next year.
Richard A. Paulson: And Brian, I think -- and just to add to that, I think when we look at the agency, I think we feel we're really positive about the evolutions and how they're focused on accelerating access to meaningful cures, treatments. And diagnostics and just a couple of months back, we participated in a really valuable CEO listening tour with the commissioner and really appreciate the interactions, I think in the evolution. So continuing to look forward to working positive with them to bring new medicines to patients.
Operator: And your next question comes from the line of Jonathan Chang with Leerink Partners.
Wei Ji Chang: Can you discuss the scenarios being explored to enhance liquidity and maximize value? What existing and/or potential XPOVIO opportunities are being considered in these scenarios?
Richard A. Paulson: Thanks, Jonathan. I mean, on that side, there's really nothing more to add on this point beyond what we've stated in our 8-K in July and what we shared today in the press release and in our 10-Q. As we've stated, we are exploring a full range of financing and strategic alternatives that are going to enable us to extend our cash runway or enhance liquidity and maximize value. We have engaged Centerview Partners, which, as you know, is a real leader in this area to help us through this. And we don't intend to discuss or disclose any further developments unless and until our Board has approved a real specific action or otherwise determined that further disclosure is appropriate. So that's kind of where we are now and continuing to work on it, obviously, as we move forward. And obviously, with XPOVIO, it encompasses the totality of XPOVIO.
Operator: And I'm showing no further questions at this time. I would like to turn it back to Richard Paulson for closing remarks.
Richard A. Paulson: Thanks, operator. I think as you heard today, our organization is very focused on delivering on the opportunities in front of us. As we've stated, we're working with real urgency and with discipline to address our liquidity and keeping our focus squarely on the opportunities we have in front of us, which is why we do what we do every day, and that's to bring meaningful much needed innovation to patients and to generate significant value. So once again, I'd like to thank our employees, our partners, our investors for their continued support and the belief in our potential and thank you for joining the call today.
Operator: Thank you, presenters. And ladies and gentlemen, this concludes today's conference call. Thank you all for joining. You may now disconnect.